Operator: Good day, and thank you for standing by, and welcome to MKS Instruments Second Quarter 2022 Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, David Ryzhik, Vice President of Investor Relations. Please go ahead.
David Ryzhik: Thank you. Good morning, everyone. I'm David Ryzhik, Vice President of Investor Relations and I'm joined this morning by John Lee, President and Chief Executive Officer; and Seth Bagshaw, Senior Vice President and Chief Financial Officer. Yesterday after market closed, we released our financial results for the second quarter of 2022, which are posted to our website, which we recently changed to mks.com. As a reminder various remarks about future expectations, plans and prospects for MKS comprise forward-looking statements. Actual results may differ materially as a result of various important factors including those discussed in yesterday's press release and in our most recent annual report on Form 10-K and any subsequent quarterly reports on Form 10-Q. These statements represent the company's expectations only as of today and should not be relied upon as representing the company's estimates or views as of any date subsequent to today and the company disclaims any obligation to update these statements. During the call, we will be discussing various financial measures. Unless otherwise noted, all forward-looking financial measures exclude any contribution from Atotech Limited, the acquisition of which is still pending. Also unless otherwise noted, all income statement-related financial measures will be non-GAAP other than revenue. Please refer to our press release and the presentation materials posted to our website for information regarding our non-GAAP financial results and a reconciliation of our GAAP and non-GAAP financial measures. Now I'll turn the call over to John.
John Lee: Thanks David. Good morning, everyone and thank you for joining us today. We delivered exceptional results in the second quarter with record revenue of $765 million and strong profitability with net earnings per diluted share of $2.59. Both metrics exceeded the high end of our guidance range as we manage through continued supply chain constraints and inflationary pressures. These results are a testament to our ability to execute by managing costs and factory efficiency, while continuing to invest in our ambitious R&D plans for the future. This performance is also the result of the hard work, dedication and ingenuity of our employees, as well as the collaboration with our valued supply chain partners and customers who continue to place their trust in MKS. Now, I'd like to provide more detail on our second quarter results and my thoughts on current demand trends. We delivered record revenue from our semiconductor market in the second quarter, increasing 6% sequentially and exceeding our expectations. While there's clearly a lot of focus on the current macro environment, our business levels remained strong in the second quarter. Our operations and engineering teams executed extremely well, navigating industry-wide supply chain constraints to deliver to our customers. Availability of certain components somewhat improved in the second quarter but we continue to remain supply constrained in our ability to fully meet customer demand. Our strong performance in the semiconductor market was the result of broad-based success across our portfolio with record semiconductor revenue for both our vacuum and Photonics Solutions divisions. These results highlight the value of our deep customer relationships and the engineering and development investments we've made to help solve their most complex problems at the most advanced technology nodes. A good example of the return on our R&D investments is the strong demand for our market-leading RF power supplies, which is a critical enabler of vertical scaling in the semiconductor industry. Our market share gain has been primarily driven by dielectric etch applications for 3D NAND. We are also continuing to gain traction in conductor etch solutions where we see an attractive market share gain opportunity. In addition, we see increasing opportunities in advanced deposition applications. For example, we displaced the incumbent for leading-edge foundry deposition process because of our dual level pulsing capability. As reported by tech insights, we have taken market share leadership in our power supplies over the past year. We continue to see an attractive opportunity for further growth given the continued trend of vertical scaling in semiconductor structures. We also saw a strong demand across our market leading plasma and reactive gas portfolio where we delivered record revenue in the quarter. We received significant follow-on orders for our dissolved ozone solutions from a large foundry for wet clean applications. Our customers are increasing their use of our dissolved ozone solutions, as an environmentally sustainable alternative to traditional wet clean chemistries. While traditional solutions use toxic chemicals that require careful disposal, our ozone solutions naturally break down to oxygen and water, after the cleaning process. We believe we are well positioned to benefit not only from leading-edge foundry fab expansions, but also from the semiconductor industry's grown need for green solutions. We also delivered record revenue from the pressure, valves and analytic control products in our vacuum portfolio, which is yet another proof point of our leadership in critical vacuum subsystems, over an unmatched breadth of solutions. Our solutions play a critical enabling role in the products that our customers provide to the marketplace. Take for example our flagship pressure measurement solutions. We were able to measure gas pressure in the chamber with extreme precision, which is critical to quality and yield across deposition and etch applications. Our market-leading Baratron capacitance manometer enables unprecedented sensitivity and accuracy, akin to detecting a millimeter of movement from more than one kilometer away. It's important to underscore that our strategy as a technology enabler in the semiconductor market, extended beyond the vacuum chamber. And I'm pleased with the growing traction of our Photonics solutions division, in lithography, metrology and inspection applications. In the second quarter, our Photonics solutions revenue to the semiconductor market reached another record, growing considerably on a year-over-year basis. We saw a particular strength in our optical solutions and motion products. Our Precision Motion Solutions are worth highlighting, as we have seen an acceleration in business levels and design win activity from our semiconductor customers over the past few quarters. In advanced packaging, metrology and inspection applications, customers are using our Motion Solutions to enable rapid movement and precise placement of the wafer to win -- to within the accuracy of a few atoms which is critical to process performance and throughput. As we look to the third quarter, demand trends in our semiconductor market remains strong across our vacuum and photonics portfolios that serve deposition, etch, lithography, metrology, inspection and wet clean applications. While our demand outlook is healthy, we remain impacted by supply chain constraints and as such, we expect revenue to be consistent with second quarter levels. In short, we are executing well across our semiconductor business as a leading, critical subsystem technology provider. We believe that nearly every chip manufacturer in the world today is made using MKS Technology. And we are well positioned to capitalize on the long-term secular growth in the semiconductor market. We have the number one or number two positions in nearly all of our major product categories in the semiconductor market. We intend to grow even further and extend our lead in this space as we have done for more than 50 years. Moving to our advanced electronics market, revenue in the second quarter declined 6% sequentially. Consistent with our expectations and as discussed in our Q1 earnings call, industry demand for flexible PCB via drilling has continued to soften, as customers have temporarily slowed capacity expansions due in part to softness in smartphone demand. In addition to the flexible PCB market, we've also seen softness in other applications tied to consumer electronics. While our advanced electronics market is soft right now, we believe this is transitory. And we remain very excited about the long-term secular opportunity, for laser-based manufacturing and electronics applications. The same trends that drive our semiconductor business, miniaturization and complexity are key drivers for advanced electronics, as customers demand more processing power, more features and new form factors for their devices. We believe our flexible PCB, HDI PCB and IC substrate via drilling solutions are all well positioned for the years ahead. In the third quarter we expect PCB industry demand to remain muted. As such, we expect revenue from our Advanced Electronics market to remain consistent with second quarter levels. Turning to our specialty industrial market, revenue grew 1% sequentially consistent with our expectations. We saw steady demand across Industrial, Life and Health Sciences and Research and Defense applications. As a reminder, our Specialty Industrial market provides a more stable revenue stream comprised of a broad array of applications with good margins and cash flow. For the third quarter we expect revenue from our Specialty Industrial Market to remain consistent with second quarter levels. Moving to our pending acquisition of Atotech, we remain very excited and look forward to combining our capabilities in lasers, optics, motion and process chemistry, to drive faster solutions and new innovations for our customers. We expect that our adjacent expertise will uniquely position MKS to optimize the interconnect, which is a significant, enabling point of next-generation Advanced Electronics. As for the status of the transaction, I'm pleased to announce that today we received unconditional merger approval from China's State Administration for Market Regulation. The acquisition is anticipated to close on August 17th, subject to obtaining the required section by the Royal Court of Jersey and the satisfaction of customary closing conditions. As many of you know MKS has a long-standing track record of technology leadership and operational excellence and we continue to execute well in today's challenging environment has clearly demonstrated in our second quarter results. While we are closely monitoring the macroeconomic landscape and supply chain impacts on our business, our overall demand environment is healthy and we are in an outstanding position to continue delivering for our customers. With that, I'd like to turn the call over to Seth.
Seth Bagshaw: Thank you John. I’ll cover second quarter results then provide additional detail on guidance for the third quarter. Revenue for the second quarter reached a record $765 million, up 3% sequentially and exceeding the high end of our guidance range. Revenue from the semiconductor market reached a record at $515 million, up 6% sequentially and up 19% year-over-year, reflecting broad-based demand for our Vacuum and Photonic Solutions. Power Solutions live another strong quarter in our plasma reactive gas, pressure, valves and illiquid control product groups, as well as our Photonic Solutions division each delivered record revenue in the semiconductor market. This is a strong validation of our consistent strategy of cultivating a broad and complementing portfolio both organically and through acquisitions that provides the fundamental building blocks essential for semiconductor manufacturing. Subnetting customers are increasingly relying with MKS to enable the multiyear product development road maps. Moving to our Advanced Electronics market. Revenue in the second quarter was $77 million, a decline of 6% sequentially and 44% year-over-year. As expected, we saw a continued industry demand for flexible PCB via drilling equipment. We believe the long-term secular trend of flexible PCB industry remain intact given us growing importance in enabling new form factors and more features in next-generation electronic devices. Therefore, I believe the current softness we are seeing is transitory. We continue to work closely with current and potential customers to drive growth in our HDI PCB via drilling platform. One of our initial high-volume manufacturing customers has continued to add capacity. While another customer that previously qualified our platform has deployed additional units across other global sites. Our HDI solution made a strategic opportunity for MKS. We're excited about the potential cross-selling opportunities the pending action of Atotech brings us as the leading provider of electroplating in the HDI industry. As we said before, defining trends of miniaturization and complexity they have dominated the semiconductor market for decades are becoming increasingly critical to Advanced Electronics. We're using the same strategic playbook they made successful in the semiconductor market become a foundational solution provider in Advanced Electronics. We were delivering the key building blocks for next-generation technologies. We look forward to closing Atotech acquisition to flex a transformational step in our long-standing strategy. Turning now to our Specialty Industrial market. Revenue was $173 million in the second quarter, growing 1% sequentially but declining 5% year-over-year. We saw a steady sequential demand across a wide array of applications. Our strategy in Specialty Industrial is quite simple. We're able to leverage our innovative vacuum photonics technology designed for semiconductor and advanced electronics applications by applying that technology to a broad array of applications across industrial, life and health sciences and research and defense. In the second quarter, I am pleased to say we also delivered record revenue in our services business, growing 8% sequentially and 9% over year to surpass a $100 million level for the first time. This success resulted to a strategic decision years ago to operate our worldwide services business as a distinct business unit with a dedicated leadership team and a customer-centric focus. With an increasing small base and further opportunities to drive new value-added customer solutions, we are well positioned to continue to drive growth in the years ahead. Our second quarter gross margin was 44.2% exceeding the midpoint of our guidance by 70 basis points. Given well-known inflationary pressures, we are very pleased with how we executed in the quarter. Second quarter operating expenses, which included annual compensation increases were $154 million, $2 million favorable midpoint of our guidance. We continue to prudently manage our cost structure, while investing in a number of attractive organic growth opportunities. Second quarter operating margin was 24.1%, exceeding the high end of our guidance range by 70 basis points, reflecting strong execution and challenging macroeconomic environment and strong operating leverage in our financial model. Second quarter adjusted EBITDA was $208 million and adjusted EBITDA margin was 27.2%. Net interest expense for the second quarter was $6 million and our tax rate is approximately 18%. Net earnings for the second quarter were $145 million or $2.59 per diluted share. Exiting the second quarter, we maintained a strong balance sheet and liquidity position with cash and short-term investments at a record of over $1 billion which positions us well ahead well for the pending Atotech acquisition. Our term loan principal balance was $820 million at the end of the second quarter and we exited the quarter with $246 million, net cash balance. In terms of working capital, days outstanding were 54 days at the end of the second quarter, compared to 59 days into the first quarter. Inventory turns were 2.5x at the end of the second quarter compared to 2.6x at the end of the first quarter. For the second quarter, operating cash flow was $105 million and free cash flow was $41 million. Our capital expenditures in the quarter included an approximately $40 million investment to acquire and expand the facility in South Korea. We have a long-standing strategy to provide sales, service and technical support, the South Korean semiconductor industry, which has significantly increased our direct sales to these local customers. This investment will allow us to expand our capabilities and support our future growth objectives in this region. Consistent with prior quarters, we had a dividend payment of $12 million or $0.22 per share. I'll now turn to our third quarter outlook. With this levels remain robust continue to face supply chain constraints. As such, we expect third quarter revenue of $770 million plus or minus $30 million. Based on anticipated product mix and revenue levels, we estimate third quarter gross margin of 44.5% plus or minus one percentage point. And we continue to take necessary steps to counteract inflationary impacts on our business. We expect operating expenses of $155 million plus or minus $4 million. In the third quarter, net interest expense expected to be approximately $6 million and our tax rate expected to be approximately 18%. Given these assumptions, we expect third quarter net earnings of $2.66 per diluted share plus or minus $0.25. In summary, we're exiting well and delivering growth and profitability across a number of attractive market opportunities. Despite macroeconomic inflationary headwinds, our financial performance is very strong and we believe the pending acquisition of Atotech provide long-term value creation for our employees, customers and shareholders. I'd like to now turn the call back to the operator for Q&A.
Operator: Thank you. [Operator Instructions] And our next -- first question comes from Amanda Scarnati from Citi. Your line is now open.
Amanda Scarnati: Hi. Good morning. The first question I have is on the semiconductor side of the business. Lam talked about lowering the WFE estimates for 2022 on supply constraints. Can you just talk a little bit about sort of what's happening in your backlog? Are you able to ship more than expected on the semiconductor market, or are you still seeing supply constraints there?
John Lee: Hi, Amanda, it's John. Thanks for the question. As we said we still see supply chain constraints and that is something we factor into our guidance for Q3. Our backlog, we don't really report on it but it's really been strong. So as I mentioned in the prepared remarks, the demand is not the problem. We wish we could ship more. So I think Lam's commentary was just reflective of the reality that all of us have been constrained throughout the year. So demand remains strong and but we are still constrained.
Amanda Scarnati: And the other question is on the PCB side of the market. Obviously, there's a lot of consumer constraints, particularly in the mobile and compute markets. When do you see these headwinds in the PCB market to abate? Do you think it gets worse before it gets better, or do you think that there is a lot of stability that you're seeing from your customers?
John Lee: Well, I think that the PCB market is made up of multiple markets. So what's weak right now are some of the consumer electronics, smartphones, notably in PCs. But the PC market also supplies data center type of markets. So we believe that smartphones have been a little weak and that does affect our flexible portion of our market – of our product line. But utilizations have been pretty high in general, because we have many of our tools out there in the field and they're being used. So I think we're just ready for the next CapEx build-out and this year was a digestion year as we've seen and we've talked about before. But looking forward we remain very positive on the long-term trends of the PCB market.
Amanda Scarnati: Okay. Thank you.
John Lee: Thanks, Amanda.
Operator: And thank you. And one moment for question. And our next question comes from Patrick Ho from Stifel. Your line is now open.
Patrick Ho: Thank you very much. John maybe first off on the semiconductor side of things. It's good to hear the continued expansion of that business outlook and you talked about share wins in areas like RF Power. Maybe on a bigger picture perspective, what are additional areas within your product portfolio, where you're either seeing market expansion or the potential for additional share gains? What are some of the semiconductor areas where those opportunities still exist?
John Lee: Thanks for the question, Patrick. Well, first off I think as we mentioned in the prepared remarks, we see additional opportunities just in our Power itself. So that's one large opportunity. We also see opportunities as the semiconductor industry inflects to more vertical structures. And that drives opportunities in atomic layer deposition, where our ozone products have a lot of potential growth as well. And then more importantly we've talked about our expansion into world-class optics, addressing the customers in lithography, inspection and metrology. It's an area where we haven't had as high market share as in our vacuum products. We made multiyear investments in there and we see some great design wins in that area as well. So that's another area for growth.
Patrick Ho: Great. That's helpful. And maybe as a follow-up question for Seth in terms of the supply chain issue, margins are holding up pretty well, given everything that's going on. Are there specific areas where the constraints are still I guess really persistent where those are the biggest challenge, or have you seen improvement in certain areas, whereas in other places they haven't shown improvements yet?
Seth Bagshaw: Yes. Thank you, Patrick. Yes. So I think we – I mean it's a number of areas but the component piece it's like component is still in the area of the most headwinds we've seen which has been the case for a number of quarters. Obviously, I think that's also true across the industry. So the good news is the operations team is really leaning into a number of inventory objectives. I think we're going to be again working through all those supply chain sets over time. Again I think it will take a while to work through all those. But until in the quarter we did go above the high end of the guidance range on revenue. Margins were a little bit than expected. So I really give a lot of high marks to the operational execution within the MKS team here. So – but again, as John mentioned in the prepared remarks, we still see some headwinds there in supply chain. But I think we're over time, I'm sure we'll gain on it like everybody else. So we're pretty happy with execution in the quarter for sure.
Patrick Ho: Great. Thank you, again.
John Lee: Thanks, Patrick.
Operator: And thank you. And one moment for questions. And our next question comes from Joe Quatrochi from Wells Fargo. Your line is now open. 
Joe Quatrochi: Yes. Thanks for taking the question. And congrats on getting the China approval for that [indiscernible] deal. Maybe one on the semi side. Can you talk about the linearity in terms of component availability, you saw during the quarter? And then I guess, what are you embedding in your September quarter guidance from a component perspective, relative to the June quarter?
John Lee: Joe, it's John. In terms of linearity on component supply, I think that's really not the issue. It's usually, whether we have it or not. So when we get it, it's fine. It could be linear or not but that's not really the cause of concern. It's really the surprises and we think we're going to get it and we don't. And then it causes a whole slew of running around trying to account for it. Going forward, I think it still surprises. I think we have line of sight to many things, because we've worked on it. But we could have said that last quarter and the quarter before. It has gotten better. There are fewer surprises, but there are still surprises. So I think really that's the way I would characterize, how the component and supply chain constraints seem to be working over the last several quarters.
Joe Quatrochi: Got it. That's, helpful. And then on the Atotech side. Can you guys remind us just, how should we think about accretion for the deal given the moves that we've seen in interest rates, over the last few months?
John Lee: Well, Joe we're going to certainly have an Analyst Day, at some point after close. And at that point, we'll be very happy to share the financial models of the combined company. So I'd like to leave it to Lam. But one reminder is that, the pro forma revenue when combining Atotech's chemistry revenue, the service revenue, our service revenue, MKS will be about 40% recurring revenue. And that's really a powerful financial foundation, from which we can build in terms of supporting our customers' R&D events or products and projects over any kind of CapEx downturns.
Joe Quatrochi: Got it. Thank you.
John Lee: Thanks, Joe.
Operator: And thank you. [Operator Instructions] And our next question comes from James Ricchiuti from Needham & Company. Your line is now open. 
Q – James Ricchiuti: Hi. Good morning. Just a question on the Specialty Industrial business. I'm just wondering, if you're seeing any change in customer behavior just related to some of the increased macro uncertainty? And how would you -- could you characterize the demand that you're seeing in some of the larger verticals in that business?
John Lee: Yes. Thanks, for the question, Jim. We really haven't seen a lot of change. You can kind of see the numbers. It's very steady in all the verticals, of what we call Specialty Industrials. There's always gives and takes. Defense is lumpy, but R&D is lumpy. But when you combine it all, Jim, I can't really point to any kind of macro behavior in any of the verticals. It's just been very steady.
Q – James Ricchiuti: Got it. Follow-up question just as it relates to Advanced Electronics. I know we don't talk a whole lot about it, but we continue to see pretty healthy demand in the MLCC business. And I'm wondering to what extent is that providing support, to that part of the business as you go through this cyclical downturn on the flex PCB drilling side?
John Lee: Yes. The MLCC market is certainly strong and supports the -- many of the electronics products markets that we play in. But we're really -- as you know the CapEx part of it, so it has been pretty muted as well as we characterize it, similar to flex. The factories are running, our tools with high utilization but right now, they don't seem to have a need for CapEx expansion. We think that will change next year. Typically, when you have a down year in CapEx investment next year usually picks up. Now, that's not a promise, but that's what we've seen in the past.
Q – James Ricchiuti: Got it. Thanks and congratulation on the approval in China.
John Lee: Thanks Jim.
Operator: Thank you. And our next question comes from Krish Sankar from Cowen. Your line is now open.
Krish Sankar: Yes, hi. Thanks for taking my question and congrats on getting the approval from China on Atotech. I've two of them. First one John just a hypothetical question. When you look at prior cycles and like obviously, one of your customers Lam reported last evening really good numbers but your inventory has also grown. I'm just wondering if they start seeing a slowdown would you see that a quarter earlier because they're going to start using up from their inventory versus you shipping it to them. Is there a way to think about it like you would probably see a one quarter earlier decline in your semi revenues before your semi-cap customers see it?
John Lee: Krish, yes, thanks for the question. Yes, as you know we typically are a bit ahead of our OEM customers. That's natural since we supply to them and they supply to their customers. Whether it's a quarter or not and whether it's in particular product groups or not it can vary depending on the cycle. But we will always probably front run a little bit. So, that's fair. But really we like to think about performing through the cycles. We outperform through the cycles 200 basis points above WFE and some of that's market share gains and some of it is in the markets that we place. So, -- but we do front run a little bit.
Krish Sankar: Got it. Very helpful John. And then one quick question. Just in your semiconductor product portfolio you have a wide range obviously you're also gaining share in the power supply side. I'm curious like if and when there is a slowdown most investors worry about maybe slowdown in memory maybe slowdown in mature nodes later on which product category of your huge product portfolio in SEMES will you see that first, or would it be impacted across the board?
John Lee: Yes, I think it's really going to be something that impacts us across the board. We are -- our strategy is to be a very broad portfolio supplier and enabler in the semiconductor market. So, every one of our products goes into all types of chip making memory, foundry, legacy types of chips as well. And it's a little more complex too because as we grow our Photonic Solutions division addressing lithography, metrology, and inspection as you know the dynamics there are a little different than the vacuum types of customers. Those tend to be much longer lead items and so you have a little less volatility there than the vacuum component. So, it's a mix, but we probably see all of them altogether up and down in terms of the breadth of our portfolio.
Krish Sankar: Thanks a lot John.
John Lee: Thanks Krish.
Operator: Thank you. And our next question comes from Paretosh Misra from Berenberg.
Paretosh Misra: Thanks and good morning guys. A question on Photonics. What sort of trends are you seeing in that market as it relates to your semiconductor business? In other words, how is the dollar spending on Photonics trending versus the WFE? And do you expect that to outperform WFE and maybe by how much?
John Lee: Thanks. Good question Paretosh. As I said the Photonics customers of ours or the lithography metrology and inspection customers. And just by the nature of those tools and the long lead items of the critical subsystems of those tools there is certainly less volatility there. With respect to your question of is it -- are they spending more or less in vacuum I think that's pretty difficult to say. Certainly our major customers there are leaders but so are the major customers that we have in vacuum. And so they are all pulling for the products. I would say that for sure and they're all saying they're they don't see any kind of pushouts or anything at least in the foreseeable future.
Paretosh Misra: Thanks John. And then I was wondering if you could provide some more color on your Power business as to what sort of growth rate you saw in Q1 and Q2?
John Lee: I think I would say this we continue to be very pleased with the market share gains that we're seeing in Power. We probably don't want to break out by quarter for one product group, but -- because it can be lumpy too as you can imagine Paretosh. But overall, year-over-year, we're really, really pleased with how that group is performing.
Paretosh Misra: Fair enough. Thanks, guys.
John Lee: Thanks, Paretosh.
Operator: And thank you. And one moment for questions. And our next question comes from Mark Miller from The Benchmark Company. Your line is now open.
Mark Miller: Congrats on your record quarter and the Atotech closure of that acquisition. I'm just wondering can you provide any estimates on the impact of component availability either on your margins and/or sales, if they are at normal levels, what would you expect to see?
Seth Bagshaw: Yes. Hey, Mark. It’s Seth. Thanks for the question. Yes, we don't provide a little of detail. There's a lot of moving pieces obviously. But what I'll kind of say, if I went back to similar volumes. So the big impact for us is, obviously, supply chain headwinds and inflationary pressure, like everybody else is experiencing, but if you went back to kind of our margins a year ago and roughly these volumes gives you a good sense of kind of the impact overall for MKS, both supply chain headwinds as well as inflationary pressure. Now, we've got a long-standing track record of working on profit and cash recovery activities. So, I mentioned in prior calls, we saw this coming early. We've leaned into it, and we've done a number of activities. It take a little while to roll through the P&L, but our goal is get back up to historical margins. It'll take a little while for sure, because you have large backlog and some of things take a while to execute. But, there's a long list of things we're working on and have been working on to get us back up to those historical levels, and that's kind of our goal for sure both intermediate and long-term, and just driving that those efforts going forward.
Mark Miller: Your inventories have been trending up over the last year. Is that just tracking your backlog?
Seth Bagshaw: Yes. I would say it's more on the, especially prepared remarks, we are seeing obviously supply chain challenges. So, we've leaned into a few areas. A couple of things are kind of at a high level. One is we've thoughtfully looked at long lead time parts and have gone out there and secure those. So that will be a strategic investment if you will long-term. But probably the biggest portion of the growth has been the fact that, again, you can't bring in every part you need to complete a finished goods. You bring in what you can, because it's available, and we have the flexibility in our balance sheet and capabilities to kind of make that type of investment, that type of long-term decision. But that's probably the bigger driver in some of the growth in the inventory. It's really not quite bringing in all of the parts to complete finished goods. Now, as the supply chain, again, is faster almost over time, that should normalize the inventory levels of back of historical levels if you will. So, it's really, fundamentally, an impact on the supply chain we're addressing in that fashion.
Mark Miller: Thank you.
Seth Bagshaw: Yes. Thanks Mark.
Operator: And thank you. And I'm showing no further questions. I would now like to turn the call back over to David Ryzhik for closing remarks.
David Ryzhik: All right. Thank you for joining us today and for your interest in MKS. Operator, you may close the call please.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.